Operator: Good day, and thank you for standing by. Welcome to the Progress Software Corporation First Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Mike Micciche, Senior Vice President of Investor Relations. Please go ahead.
Michael Micciche: Thank you, Olivia. Thanks for your help today. Good afternoon, everyone and thanks for joining us for Progress Software’s First Fiscal Quarter 2025 Financial Results Conference Call. On the line with me this afternoon are Yogesh Gupta, President and Chief Executive Officer and Anthony Folger, our CFO. As always, we will begin the call with our safe harbor statement. During this call, we will discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives, our acquisition of ShareFile which closed on October 31, 2024 and other information that might be considered forward-looking. Such forward-looking information represents Progress Software's outlook and guidance only as of today and is subject to risks and uncertainties. For a description of the risk factors that may affect our results, please refer to the risk factors in our filings with the Securities and Exchange Commission. Progress Software assumes no obligation to update forward-looking statements included in this call. Additionally, please note that all the financial figures referenced in this call are non-GAAP measures unless otherwise indicated. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP figures in our financial results press release, which was issued after the market closed today. This document contains additional information related to our financial results for the first fiscal 2025, and I recommend that you reference it for specific details. We've also provided a PowerPoint presentation that contains supplemental data for the first quarter, and that slide deck provides highlights and additional financial metrics. Both the earnings release and the supplemental presentation are available on the Investor Relations section of our website at investors.progress.com under the Investor Events and Presentations tab. Today's call is being recorded in its entirety and will be available for replay on the Investor Relations section of our website shortly after we finish. And with all that out of the way, Yogesh, I'll turn it over to you.
Yogesh Gupta: Thank you, Mike. Good afternoon and thank you for joining us today as we announce the results from our first quarter of fiscal 2025. We're extremely pleased with our solid start to the year as you can see from the numbers and the updated guidance in our earnings release. Our annualized recurring revenue or ARR increased 48% over last year in constant currency predominantly driven by ShareFile with additional contribution from the rest of our business. And our net retention rate again surpassed 100%. For the quarter, revenues came in at the high end of our guidance at $238 million up 30% in constant currency showing steady continuous demand for our solutions. Earnings per share of $1.31 significantly exceeded the upper end of the range we provided at the end of Q4, which illustrates that our whole team is executing well, while also keeping expenses in check. Our operating margins of 39% this quarter are indicative of our company wide focus on expense management and execution as well as faster ShareFile integration. So at a high level, our results show several positives and Anthony will take you through the details of the quarter later. Perhaps most important, the integration of ShareFile is going very well as you can see from its significant contribution to ARR, revenues as well as expense savings. Each of the milestones and key areas of integration we anticipated are either on track or ahead of plan. During the quarter, we paid down $30 million on our revolver ahead of our original plan to start paying down debt in second quarter and in line with our intent to de lever rapidly so that we can be ready for the next deal. We remain very focused on prudent capital allocation and on using all facets of our capital allocation strategy to provide solid returns on invested capital. To that end, we also repurchased $30 million of our stock consistent with our goal of returning capital directly to shareholders in the form of opportunistic buybacks. From a macro perspective, we have seen no disruption stemming from the uncertainty in the environment thus far, particularly as it pertains to our relatively modest federal government business and we continue to monitor the developments closely. So all-in, our first quarter of 2025 was very solid across the board and our teams are once again showing their excellence in running the business efficiently while meeting and exceeding our operational targets. Let me now provide a little more detail on ShareFile and revisit a couple of highlights of the deal. We ended Q1 about four months into the integration and with everything proceeding as expected and probably a bit better in many ways. Our transition services agreement with CSG is working out well. While we still have more steps to complete, our progress has been faster than anticipated and we continue to believe that we can complete the integration and reach our 40% operating margin target for the acquired business by the end of this fiscal year. The people integration efforts with our ShareFile colleagues have gone extremely well as the collective teams have embraced our common culture and are moving forward as one. The hiring and integration of teams in locations such as India, Costa Rica and Bulgaria has been rapid and we're excited about the progress on the people front. As a reminder, ShareFile is a native SaaS platform with 100% recurring revenue and solid net retention rates. In addition to the robust durable revenues and cash flow that ShareFile will generate, we now have extensive expertise running a significant SaaS business at scale with excellent gross margins. Before we acquired ShareFile, our SaaS platforms only accounted for around 3% of our total revenues and now SaaS is nearly 30% of our revenue. The addition of ShareFile is helping us in a number of ways. For example, the strong cloud operations platform and significant cash flows from an optimized SaaS business opens up a larger segment of potential M&A candidates. Previously, we looked at many SaaS businesses and were hesitant because their gross margins and operational capabilities were unappealing to us. By the time we are ready to take on another deal, we will have cloud operational capability at scale as well as the additional strong cash flow and balance sheet to seriously consider deals we may have been hesitant about before. I'm incredibly excited about the possibilities, but I also want to make sure that we remain disciplined, focused and operationally competent in every regard when it comes to M&A and the execution of that part of our strategy. In fact, to further enable the execution of our strategy, we are also filing a universal shelf registration statement, which will allow us to access the capital markets with greater agility. While we currently do not have any plans to offer securities under the shelves, it does provide us with additional flexibility to carry out our total growth strategy. And we do see significant opportunities in the M&A market. There are multitude of good companies and products that we believe will be coming to the market and continued higher interest rates have made us meaningfully more competitive for deals when competing against strategic and financial buyers. As I mentioned earlier, ShareFile gives us readymade SaaS experience and expertise and our reputation as the buyer of choice in infrastructure software positions us extremely well in the minds of company founders, management and investors. All of this creates a competitive differentiation for progress. Having a shelf ready to go adds to our advantages and will increase our ability to make acquisitions. Let me now highlight a few of our customer wins from the first quarter. Several leading commercial lenders and banks expanded their use of ShareFile in the first quarter. The wins highlight our financial service organizations are benefiting from purpose-built AI capabilities in the ShareFile product to securely share large documents with their clients, detect when the document contains sensitive information, verify recipient's identity upon access and integrate e-signature into their workflows. The customer feedback we continue to hear is that ShareFile is directly contributing to their revenue streams, workforce efficiency and risk mitigation. Also, in Q1, to AI powered its content recommendations for their customers, one of the world's leading streaming entertainment providers turned to our data platform products for semantic analysis capabilities. Demonstrating our continued impact on shaping our customers digital experiences, a global leader in industrial machinery manufacturing expanded its use of our DevTools products to provide touchscreen user experiences for the industrial machines to drive easier, accessible and more efficient workflows for operators. Two states in the U.S. reaffirm their commitment to use Progress’s intelligent decisioning product to automate policy driven decisions that are part of their digital government infrastructure. And we also saw several global financial, automotive and retail customers significantly expand the use of our DevOps products to optimize, secure and assure compliance of their application infrastructures. In addition, our infrastructure and network management offerings drove strong new wins across Europe and Asia including one of India's newest airports. The common thread behind all these wins, expansions and renewals is our focus on enabling our customers to develop, deploy and manage verifiable and trustworthy AI powered applications and digital experiences. More and more of our customers are leveraging progress to deliver reliable outcomes from often massive unstructured datasets in ways that can dramatically improve work productivity, customer service and ultimately revenue, while increasing compliance and reducing risk. Let me provide a quick update on our AI efforts as it's a major force driving change in almost every industry. AI has been part of our strategy and product roadmap for many years and is core to the ongoing value we're providing our customers. Those of you who have tracked our company over the years would have seen our early assessment and focus on how data would be critical to delivering AI driven applications. The concept of AI has certainly come a long way since then. Today, as our customers continue to rely on progress to power and solve mission critical parts of their business, we have stayed ahead of this transformative technology evolution by ensuring our customers have the tools, processes and expertise to fully leverage AI's potential. Our AI efforts continue to be focused on three areas. Number one, help our customers build great agentic and AI powered applications and experiences that automate workflows and generate accurate, valid, and verifiable answers that are in context relevant to the audience and leverage data in a secure and trustworthy manner. Number two, offer agentic and AI capabilities within our own products to make them much easier to use and to deliver greater value to the users. And three, use AI internally to be operationally more efficient, managing costs while investing in areas where we need to invest. To accelerate these efforts, one of our engineering leaders recently stepped up to spearhead our AI efforts across the company as Progress's Chief AI Officer. Ed Keisling has been part of Provost's engine leadership for many years during which he has to help transform that organization and we knew the importance of appointing someone who can drive such transformation again. In this new role, which supports directly to me, Ed is helping us innovate and invest in AI while also maximizing cost efficiency benefits through AI. In many ways, these efforts are balancing each other out as we continue to focus on retaining, supporting and innovating for our customers. In summary, the first quarter of 2025 was a great quarter financially and operationally. I want to thank all our employees for all their hard work. We are delighted that we have such a strong employee base and the addition of ShareFile further strengthens our organization and culture. We expect to have ShareFile fully integrated by end of the fiscal year and we will continue to pay down our debt aggressively. At the same time, we're keeping our seat at the table in the M&A market and always looking for great acquisitions. We're also keeping our eyes on a larger global macro environment and remain confident that our customers trust progress to continue to deliver in an ever-changing world. Thank you again for joining us this evening. And now let me pass it over to Anthony for more details around our results and the guidance.
Anthony Folger: All right. Thanks, Yogesh. Good afternoon, everyone, and thanks for joining our call. As Yogesh mentioned, we're very pleased with our Q1 results and especially with the pace of the ShareFile integration. I'll talk more about ShareFile later on, so let's begin with our results for the quarter. Starting on the top line, we closed Q1 with ARR of $836 dollars representing 48% year-over-year growth and 3.4% pro forma growth on a year-over-year basis. For clarity, the pro forma results include ShareFile's ARR in both periods. Our growth in ARR was driven by multiple products, including ShareFile, but also OpenEdge, our DevTools products, Sitefinity, Kemp LoadMaster and WhatsUp Gold. We view this broad-based growth across our product portfolio as a clear indicator of our effective execution and a steady demand environment. As a reminder, our calculation of ARR is presented in constant currency with all periods presented at our current year budgeted exchange rates. Consistent with past practice, we've updated ARR using our 2025 budgeted exchange rates. And as a result, ARR that was reported in prior periods has changed slightly. The change isn't material and doesn't alter the trend in ARR growth or the net retention rates that we've been reporting over the past several quarters. We've included the details of this calculation in the supplemental financial presentation filed with our press release. Also worth highlighting is our strong net retention rate, which again came in at over 100%, reflecting resiliency in our top line. As we've mentioned several times before, we believe that investments in our product portfolio and good customer relationship management both contribute to our consistently strong net retention rates. In addition to solid ARR growth and a net retention rate more than 100%, revenue for the quarter of $238 million came in at the high end of our guidance range. On a year-over-year basis, revenue grew by 29% with growth driven by the acquisition of ShareFile, partially offset by the renewal timing of multi-year subscription contracts. As we've mentioned on previous earnings calls, the renewal timing of subscription contracts, especially multi-year subscriptions can have a significant impact on our revenue in any given quarter, skewing results higher or lower for that period and creating lumpiness in comparative periods. For this reason, we continue to focus on ARR as the best barometer of top line performance. Turning to expenses. Total costs and operating expenses for the quarter were $144 million up 34% from the prior year, but lower than expected. The primary reason our costs were better than expected is the quicker, more cost-effective integration of ShareFile. Some of this efficiency that we've gained from the integration will benefit our cost base post integration. As a result, some of these costs have been factored into our outlook. It's also important to note that the year-over-year expense differential was solely due to the ShareFile acquisition. Without ShareFile, our costs and operating expenses would have slightly decreased on a year-over-year basis. Operating income was $94 million up $17 million compared to the prior year quarter. Our operating margin of 39% exceeded our expectations due to strong top line performance and good cost management. Likewise, on the bottom line, earnings per share of $1.31 for the quarter was $0.23 above the high end of our guidance range. Moving on to a few balance sheet and cash flow metrics. We ended the quarter with cash and cash equivalents of $124 million and total debt of $1.51 billion for a net debt position of $1.39 billion. On a post synergy basis, we expect our net leverage ratio to be approximately 3.4x. Our DSO for the quarter was 48 days, an improvement of 19 days compared to last quarter. Unlevered free cash flow was $88 million for the quarter, an increase of $10 million over the prior year quarter and was driven by stronger than expected collections and better operating performance during the quarter. Finally, because our operating performance and collections were meaningfully better than we expected, we were able to allocate more capital to debt repayment and share repurchases during the quarter. Specifically, during Q1, we paid down $30 million against our revolving line of credit ahead of our expectation to begin de levering in Q2. Also, we repurchased $30 million of Progress stock at a lower price than anticipated. And as a result, we've lowered our annual share repurchase forecast from $80 million to $70 million and we've shifted that $10 million savings to our debt repayment plans and now expect to pay down a total of $160 million against our revolving line of credit during 2025. At the end of Q1, our revolving line of credit has a balance of $700 million and we have $77 million remaining under our current share repurchase authorization. Now I'd like to turn to our outlook for Q2 and the full year 2025. When considering our outlook for Q2, it's important to reiterate the point that I made earlier about the revenue impact of multiyear contract renewals and how their timing can impact revenue in any given quarter. Despite this potential for lumpiness in quarterly revenue, we expect ARR to be a good reflection of our fundamental top line performance. And as mentioned on our last call, we expect low single-digit ARR growth in 2025. With that, for the second quarter of 2025, we expect revenue between $235 million and $241 million and earnings per share of between $1.28 and $1.34. For the full year, we expect revenue between $958 million and $970 million consistent with our prior guidance. We expect an operating margin of approximately 38%, a slight increase from prior guidance. We're projecting adjusted free cash flow between $226 million and $238 million and we're projecting unlevered free cash flow between $283 million and $294 million both reflecting a slight increase from prior guidance. Finally, we're projecting earnings per share of between $5.25 and $5.37 an increase of $0.25 per share compared to our prior guidance. Our guidance for full year EPS assumes a tax rate of 20%, the repurchase of $70 million in Progress shares, total debt repayment of $160 million and approximately 45 million shares outstanding, including approximately 350,000 shares associated with potential dilution on our 2026 convertible notes. I'm sure you'll recall that we purchased a call spread on our 2026 convertible notes to hedge the economic impact of dilution up to approximately $89 per share. However, accounting regulations do not allow for recognition of any benefit from that call spread when calculating shares outstanding. Because of this added nuance, we'll continue to provide the number of shares that we've assumed for dilution each time we provide an outlook on earnings per share. For more details, I'd recommend that you refer to the supplemental financial presentation filed with our press release, which now includes more information on our outstanding debt. In closing, we are thrilled to deliver a great Q1 really across the board. We believe our integration of ShareFile along with accelerating our debt repayment positions us really well to continue to execute our total growth strategy for the remainder of this year and well beyond. With that, I'd like to open the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question coming from the line of Fatima Boolani with Citi. Your line is now open.
Fatima Boolani: Good afternoon. Thank you for taking my questions. Yogesh, I wanted to direct this one to you first. You gave us a good picture of the macro health and some of the commentary there. But if I were to ask you to double click on just the ShareFile business, we understand that of the 86,000-ish customers in that base, the vast majority I think you characterized as being SMB. So I'm wondering if there are any observations that are worthwhile sharing from an SMB or mid-sized company health behavior perspective, just kind of given the domestic policy whiplashing that's going on. Just any high level or broad commentary in terms of how some of these customers might be behaving in the cross section of this customer size? And then I have a follow-up for Anthony, please.
Yogesh Gupta: Thank you, Fatima. So, you know, it's interesting -- I'll give you, of course, our perspective, but I want to also preface that by pointing out that ShareFile is really the mission critical workflow management solution for the customers that use it, right? So I want to make sure people understand that what applies to it may or may not apply to other things that those businesses spend money on. So when you think about, for example, a legal business, a law firm, an accounting firm, a firm that is basically interacting with its doctor's office, small physician's office, you name it. When they are interacting with patients or pharmacies or clients, and trying to share securely their documents, making sure that there's document tracking, change management, versioning, compliance, regulatory compliance. These things are required. And so we haven't really seen anything in the market to date. We are keeping a very close eye on what's going on. But so far, business has been very healthy. So Fatima, I wouldn't want to speak more broadly for other things, but at least for progress for ShareFile specifically, business continues to be very healthy.
Fatima Boolani: I appreciate that. Anthony, for you, you guys reiterated, I guess the increased proclivity to look at more SaaS native assets as you think about your M&A strategy as part of the total growth strategy. And so when we think about gross margins and gross margins trajectory, how should that tactically play out for gross margins in the near term and then medium term as you onboard and scale more SaaS oriented assets? Thank you.
Anthony Folger: Yes. Thanks Fatima. That's a good question. The ShareFile business when we acquired it had gross margin north of 80%, which we thought was outstanding, especially for sort of a document centric and SMB focused business. I would say they were in the low 80s%, 82%, 83%%. Opportunities that we had looked at previously, certainly especially subscale assets had gross margins at much lower levels than that. And we just hadn't we really didn't have the capability or the capacity to take those margins up in any meaningful way. To Yogesh's point, we now do have that competency internally. I would expect that anything we would buy, we'd look to get gross margins at least up to the ShareFile level. And so I don't think that, that has an enormously dilutive impact on our gross margin overall. Pure software is always going to be slightly higher margin, but we are very happy with low 80s% on SaaS based products. And I think this opens up the opportunity set pretty broadly for us.
Yogesh Gupta: Thank you.
Operator: Thank you. And our next question coming from the line of Pinjalim Bora with JPMorgan. Your line is now open.
Pinjalim Bora: Great. Thank you for taking the questions and congrats on the quarter. Staying on that same thread since you called out SaaS, should we expect basically progress to lean in on SaaS acquisitions? Obviously, it will provide you more visibility on kind of the revenue given the ratable rev rec and all that. Are you kind of making a concerted effort towards adding more SaaS going forward? And should we expect that SaaS mix to be more than 50% of the business over time?
Yogesh Gupta: Well, Pinjalim, thank you. It's actually interesting, right. As you know, usually we buy companies, I like to say we don't buy unicorns, we buy thoroughbreds, right? And thoroughbreds means that the company has been around 10 years or 15 years and really has built up a great customer base and has built up a reputation in the market. And when you start thinking now about companies that were started, let's say between 2005 and 2010, the vast majority of them are SaaS. So I think the market opportunities that will come up by definition will be more SaaS, Pinjalim, right? So it isn't just that we would necessarily focus primarily on SaaS. Yes, given two assets that are the same on every other front, we would prefer SaaS because I think like you said the revenue is much more ratable and predictable and also the business has longer legs for the future. And all of our acquisitions have had a strong eye towards improving the relevance of our product portfolio overall going forward, right So we continue to invest in our own product portfolio to keep it current and relevant, but we want to buy companies that have greater relevance going forward. So I think those kind of things will drive us to look at more SaaS. I don't think there's going to be a concerted thing that says let's not look at on prem. Yes, we have the ability to run SaaS businesses at excellent gross margins, which is the envy of almost any other SaaS software company out there. But at the same time, right, licensed businesses have even slightly better gross margin. So we're not necessarily going to just say let's go look only at SaaS, but yes, I think you can reliably expect that over time there'll be more SaaS acquisitions.
Pinjalim Bora: Got it. Thank you for that. And Anthony, one question for you on the guidance. You all performed on your Q1 guide. It seems like the FX headwind year-over-year annually has lowered versus what you baked in coming into the year. It still seems like you kind of maintained the full year guidance. I just want to be sure, I mean, it makes sense. There's a lot of uncertainty. So companies being prudent completely makes sense. But I want to just be sure is that just that, just you being prudent? Or are you actually seeing something in the pipeline that makes you being more conservative?
Anthony Folger: No. I think, Pinjalim, we came in I would say this -- we came in right at the high end of our range for the quarter. And to us, that means we hit an upside case. I think there's a little bit of FX benefit as we look at the full year results relative to where we were last quarter. But I think as we all know in this environment those FX movements can come and go. It's not really something we took a lot of consideration of when we set the guide. For us, it was more operational to say, okay, it's Q1. We hit an upside case for Q1, which is great, but it's still Q1. I think we're rarely going to raise our revenue outlook after Q1, but it certainly gives us a lot more confidence as we go into the remaining three quarters of the year.
Pinjalim Bora: Understood. Thank you very much.
Operator: Thank you. And our next question coming from the line of Lucky Schreiner with D. A. Davidson. Your line is now open.
Lucky Schreiner: Great. Thanks very much and congrats on the quarter. This is a bit of a nitpicky question, I know, but just can you help me understand the slight decline in ARR quarter over quarter? Is there anything to call out for that change, especially since it looks like ShareFile still grew decently well in the quarter?
Anthony Folger: Yes. Hey, Lucky. Good observation and yes, that's we've seen that before in fourth quarter to first quarter sort of transitions. Part of that is because we've got a lot of ARR in maintenance contracts. And as you might imagine, sort of the Q4 to Q1 to Q2 timeframe is one where there's a heavy concentration of those contracts, and sometimes they slip out of a quarter in terms of their renewal. If we don't have a contract in house and signed, we do not count the ARR. And so sometimes Q4 to Q1, we will see a slight, I'll call it, a seasonal dip in ARR. And then we generally see that bounce back in the second quarter. If you were to look back at some of our Q1 earnings calls, maybe '23 or '22, you'd probably see a similar trend line. So nothing out of the ordinary from our perspective.
Lucky Schreiner: Got you. That's helpful. And then there was a lot of commentary around your positioning in AI. Can you maybe just help me understand how much of that is meaningful to the business today in terms of like revenue generation and customers building those AI powered applications? And a bit of a nuance one, any impact on M&A in terms of the companies available out there? I know that they're typically more expensive than you'd be willing to buy, but, bit of a two parter there.
Yogesh Gupta: So from my perspective, Lucky, the customers that we are winning on AI offerings are still anecdotal, right? And so I don't want us to think that there is a meaningful revenue that we are seeing, which is why we keep saying that we expect our NRR growth to be low single digits, right? By the way, just year-over-year this year, I think our NRR growth was 3.4%. But if you exclude ShareFile, it was 2.5%, right Anthony? So 2.5% if you exclude ShareFile from both those periods. So it's a we have a strong steady business. So we're not seeing enough traction to basically say, “oh, you know what, we think we have revenue upside that we can start talking about”. But if we do, we absolutely will share that. From an acquisition perspective, again, there are some companies that are completely priced at valuations that are not just out of our reach, but out of reach of almost practically everyone else as well. There are very few people who can buy them. But from our perspective, there are lots and lots of companies that offer capabilities that are essential in people's AI journey. And I go back to MarkLogic acquisition. Being able to do semantic analysis and leverage content and data, to bring it together and be able to make sense out of it, leverage a vector database and effectively create a VAG solution out of it, which we did at Progress after the acquisition, enabled us to now get into the market and talk about the stories we're talking about. So I think that we can find companies and assets that have those capabilities in your, ShareFile. It has more AI capabilities in its product than pretty much anyone else in the competitive landscape that it is in. And so I think that to us we are looking for those businesses that have significant go forward relevance including AI capabilities, including being possibly SaaS, including ability for us to help our customers with their AI journey. And I think that really is key. We will look at, for example, our Chef offering. As businesses deploy massive scale applications and massive infrastructures to go with it. They have to make sure that that deployment and changes and configurations and compliance and all that stuff is done the way they want it done, which is what something like Chef does. So I think that there are what I would call products that enable our customers to really help them build reliable responsible AI business applications and experiences and deploy them and run them well. And that's what we continue to look for.
Lucky Schreiner: Appreciate the answer. Thank you.
Operator: Thank you. [Operator Instructions] Our next question coming from the line of John DiFucci with Guggenheim Securities. Your line is now open.
John DiFucci: Hi, this is Lawrence Vensko on for John DiFucci. Thanks for taking my question. So internationally, there are clearly many geopolitical forces at play. And we were wondering if you have seen any resulting changes in any of the major geographies that you operate in outside of the U.S. Has there been any uncharacteristic weakness or strength that's worth calling out? And are you expecting any in fiscal 2025? Thank you.
Yogesh Gupta: Hey, Lawrence, thanks for the question. Again, so far nothing, right, is the short answer. We keep watch. We are very careful. We are a global company. We as you said, we have businesses, customers around the world. We have employees around the world who serve them. We are monitoring whether there will be sentiment changes and so on. And if so, we will share. But at this point customers have trusted us for decades. We are embedded in their mission critical systems. We are being used by them to run things that are core to their business. And so really, I think, yes, maybe there's some sentiment out there that others are seeing, but we are at this point not seeing anything. Neither positive nor negative, I want to make sure that it's clear that isn't just negative sentiment I'm talking about. There's really for us it's been steady as she goes. Execution continues to be really going well. Our teams continue to execute. They are focused on serving our customers and our customers understand that. And they understand that we are a business that is dedicated to making them successful and innovating and investing towards their success. And I think that's why we are the trustworthy partner. So, so far so good.
John DiFucci: Okay. That's clear. Thank you. And also thank you for that data.
Yogesh Gupta: You're welcome.
Operator: Thank you. And I'm not showing any further questions in the queue at this time. I will now turn the call back over to Mr. Yogesh Gupta for any closing remarks.
Yogesh Gupta: Thank you everyone for joining. We are delighted with our performance in Q1 and we look forward to speaking with you again at our Q2 results. Thanks again.
Operator: [Operator Closing Remarks]